Operator: Good afternoon, everyone, and thank you for participating in today’s conference call to discuss Jones Soda’s financial results for the third quarter ended September 30, 2020. Before we begin, let me remind everyone of the company’s Safe Harbor disclaimer. Certain portions of our comments today will concern future expectations, plans and prospects of the company that can constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Forward-looking statements, including all statements containing verbs such as aims, anticipates, estimates, expects, believes, intends, plans, predicts, will, may, continue, projects or targets and negatives of these words and similar words or expressions. Forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those indicated by the forward-looking statements. Factors that could affect our actual results include, among others, those that are discussed under the heading Risk Factors in our most recently filed reports with the SEC, including our annual report on Form 10-K, our quarterly reports on Form 10-Q in our current reports on Form 8-K. In addition, this call includes discussions of certain non-GAAP financial measures. The most directly comparable GAAP measures and reconciliations for non-GAAP measures are available in the earnings release and other documents posted on the company’s website under Investor Relations. I would like to remind everyone that this call will be available for replay through November 12, 2020, starting at 7:30 p.m. Eastern Time tonight. A webcast replay will also be available via the link provided in today’s press release as well as the company’s website. Now I would like to turn the call over to the Interim CEO of Jones Soda, Jamie Colbourne.
Jamie Colbourne: Well, thank you, operator and good afternoon everyone. I wanted to start by saying how proud I am of our team for delivering excellent results for our third quarter. Reversing the effects of a pandemic is unprecedented. And our team has done an exceptional job over the last several months focusing on our core competency and providing best-in-class service to our customers and partners. After six consecutive quarters of revenue decline, we returned to growth with a 17% year-over-year increase in total revenue for the third quarter. With the implementation of revamped digital marketing and social media initiatives, we saw overall market awareness and demand for Jones Soda products accelerate through the quarter. In addition, the retooled sales approach we implemented last quarter, combined with an intense focus across our organization on selling our core product offerings has begun to materialize in our results. And I firmly believe we are in a strong position to build from here. In addition, we have strengthened our senior leadership team with the appointment of Mark Murray as our President. Mark brings nearly four decades of experience in CPG and foodservice industry. Having held executive and various senior sales and marketing positions for well-known brands, including Harry’s Fresh Foods, SOLO Cup Company, and Campbell’s Food Company in craft and foodservice. Prior to joining us in September, Mark spent the last several months as an adviser to Jones, allowing him to hit the ground running. And he has already begun implementing strategic initiatives to revitalize our go-to-market approach and sustained growth into the future. Later on, we will have the pleasure of hearing from Mark to discuss operational highlights, how our various product lines have performed and some exciting growth opportunities on the horizon. Lastly, as we stated on our past two calls, the health and safety of our employees, supply partners, distributors and stakeholders remain our top priorities while the world still faced the effects of COVID-19 and we will continue to monitor the situation closely, responding to any changes rapidly and responsibly. However, as evidenced by the progress this quarter, we are not letting that growth conditions dictate our ability to return Jones to revenue growth and continue improving profitability. We have a highly adaptable team that has proven its ability to adjust in the face of diversity, and find alternative solutions when certain growth opportunities are suddenly no longer available. While there is still much more work to be done, this is just the beginning. I am confident in our direction and believe there are ample opportunities for Jones Soda to capitalize on going forward. With that, I will turn the call over to Joe to walk us through third quarter financials. Joe?
Joe Culp: Thank you, Jamie and good afternoon everyone. Total revenue in the third quarter increased 17% to $3.5 million compared to $3 million in the year ago quarter. The increase was primarily driven by strong sales in our core followed floater products, which were up 40% on a year-over-year basis, but partially offset by the anticipated decline in 7-Select revenue. Mark will expand on the status of our relationship with 7-Eleven later in this call. Gross profit as a percentage of revenue increased 430 basis points to 26% and compared to 21.7% in the prior year period. The improvement was the result of optimizing efficiency across our operation. With these optimization improvements, we expect to sustain a stronger margin profile going forward. Operating expenses in the third quarter were $1.3 million compared to $1 million in the same year ago quarter. The increase was primarily due to reinvestments into the business through additional consulting expenditures, marketing initiatives and launching the 3 social and digital media campaigns. As we begin reinvesting into the business to execute on various growth initiatives, we will continue to closely monitor our spend to ensure it is calculated in an efficient manner to balance with our current working capital. Net loss in the third quarter improved to $450,000 or negative $0.01 per share compared to a net loss of $476,000 or negative $0.01 per share for the prior year period. Adjusted EBITDA in the third quarter improved a negative $324,000 compared to negative $352,000 in the year ago quarter. These improvements to the bottom line are a result of our growth in core brand sales, focused on optimizing margins and prudently managing costs, which we plan to continue as we grow the business. Moving on to the balance sheet, at September 30, 2020, cash and cash equivalents remained flat at approximately $4.3 million compared to one quarter ago at June 30, 2020. We had $6 million of cash and cash equivalents at December 31, 2019. This slowdown in cash burn is a direct result of the cost management initiatives and operational efficiencies that we have implemented. Additionally, working capital was $6.7 million compared to $8.4 million at the end of last year. Lastly, the only debt we carry is an outstanding convertible note instrument and our PPP loan. It was a point of emphasis last quarter to clean up the balance sheet as we liquidated slow-moving inventory and eliminated various accounts receivable that we did not expect to receive payment on. Having cleaned this up last quarter, we have a more controlled balance sheet that has positioned us favorably to close out the rest of the year and further into 2021 to continue to support revenue growth and improve profitability. I will now turn the call over to our newly appointed President, Mark Murray, to discuss how the various product lines within our business have performed and growth opportunities on the horizon.
Mark Murray: Okay. Thank you, Joe, and thank you, Jamie, for the introduction earlier. To start, I would like to say it is an honor and a privilege to be leading the Jones soda organization, and I’m very excited about the opportunities in front of us. Not only do we have a very unique brand and great quality products, we also have an extremely passionate and committed team, the dedication, focus and execution over the last few months a very exciting to see. We worked very hard as an organization rebuilding the 3-year strategic plan. We now have created the direction gained alignment throughout the organization and have a great team to execute a plan that we are confident will deliver tremendous results. So let’s look at Q3 performance across products, channels, and functional areas and let us start with sales. If you recall from the last earnings call, we were excited about our June number, and were starting to see some great revenue momentum. We are very pleased to announce that this momentum continued to be strong throughout the quarter as we exceeded year ago numbers in July, August and September. And as Jamie and Joe mentioned earlier, our total third quarter revenue grew 17% compared to Q3 2019. We are encouraged by these tremendous results and we believe this momentum will continue, giving us confidence that we will finish the year strong. Also mentioned earlier, our core Jones Soda bottled business played a key role driving the strong Q3 results. The sales team did an excellent job executing against planned promotional programs in both the U.S. and Canada. We saw growth at Costco, Kroger, Walmart, Safeway and Albertsons as well as many other key accounts. We will continue to focus on this business and we will make sure we close distribution gaps, to ensure our partners are taking advantage of our top core flavors and continue to effectively promote and display our products. We have also allocated resources towards the club channel, which includes retailers like Costco, Sam’s and BJ’s Wholesale Club. We feel we have some great items, such as Lemoncoco in boxed variety packs that align well with the club consumer. We are currently working to ensure we have the right products, the right price and the right value proposition to win. Although we have had some success in this channel, we know there is still tremendous upside, so stay tuned for more to come in this very important initiative. We have also allocated resources to help build our foodservice business. We all know the foodservice industry has been hit hard by the COVID pandemic. But we believe in the importance of establishing key relationships now along with creating a pipeline of innovation to prepare ourselves for the future. We will grow this channel through both broadline distribution and a dedicated team focused on regional and national accounts. We know we have some unique, quality products that offer opportunities with packaged beverages, slurpy and items like frozen slush products. Foodservice is a relatively small business for us today. However, it will be a tremendous growth opportunity for us in the future. Finally, we invested in resources that all build at the national and regional key accounts in grocery, mass, drug, e-store and specialty channels. We believe the additional sales support at these key account levels across these channels will allow us to drive incremental sales in our core brands and business. Turning to Slide 11 and our co-branded 7-Select program, as we articulated in the last few quarters, we knew this part of our business would continue to be challenged. So we will be exiting this business in 2021. However, our relationship with 7-Eleven continues to be strong, and we are now working with them on several initiatives for next year. We find incredible value in the relationship and are pursuing alternative growth opportunities that are more mutually beneficial and strategically aligned with all of the 7-Eleven brands and Jones. This would include selling our Jones branded bottled soda products on a greater scale and introducing innovation with new slurpy initiatives. We are early in the discussions and are very excited about the various opportunities we have in front of us. As a reminder, we do have a strong business in Canada, which includes a 7-Eleven private label and our Jones Soda branded products. This program has consistently performed well. For Lemoncoco, we continue to service our current partners, but we remain in deep evaluation mode to determine the most appropriate go-to-market strategy. Although it remains a small portion of the Jones revenue, we are confident in its potential, especially within the health and wellness and club channel. We will keep you updated as we continue to make progress and rollout a more defined strategy. Now moving to our marketing initiatives, on the last call, Jamie announced that we were reuniting with legendary skateboarder, Tony Hawk and Jones has had a longstanding relationship. Tony and his family embarked on a 10-day tour in a Jones branded RV, which he documented on social media channels, with his 15 million followers. In addition, his videos drove an incremental 42,000 views to the Jones website. The People’s Craft Soda RV continued to make stops throughout the summer, promoting brand awareness and directly engaging with our consumers. We are incredibly pleased with the outcome of this initiative so stay tuned as we continue to build on the relationship with Tony Hawk to create other marketing plans for the future. Despite the challenges of the pandemic, the marketing team has found new creative ways to continue to engage with consumers. This is all about using our labels as the ultimate platform to display unique consumer perspectives, engage with them and ultimately leading to more products sold. Over the summer, we launched our Message of Hope series, displaying positive responses to COVID that included consumer captured imagery ranging from chalk art, lit-up up landmarks, murals conveying the notion, being in this together. Most recently, our Vote 2020 initiative turned our bottles into a nonpartisan registration tool by incorporating the QR codes on the labels and taking consumers to a website to register to vote in just 2 minutes. This initiative alone has generated over 37 million earned media impressions and we’re not done yet. I am excited to share that in January 2021, we will be launching an initiative around Unsung Heroes, featuring everyday people who have inspired us by going above and beyond in 2020 to make the world a better place. Our growing photo library of more than 1.5 million submissions has shaped our brand’s personality by highlighting our consumers and their stories. We will, of course, continue to honor this tradition in unique and interesting ways throughout 2021 and beyond. As we continue to build our strong foundation of the brand with user-generated labels, we are now also focused on amplifying the message of the People’s Craft Soda. In light of the pandemic, we have begun investment in digital capabilities and paid social media to amplify our message and create brand awareness at very cost-efficient manner. Not only have we seen excitement and engagement and reminded our loyal fan base of who we are, but we are confident we are introducing a new audience for Jones brand. In fact, since August, we have reached over 6 million unique users with paid social media. We believe our efforts have been effective as we’ve seen potential consumers engage and express intent in learning more about Jones, leading them to our website for more information. In addition, we are investing in influencer marketing to build advocacy, reach new audiences and ultimately create more engaged fans, who we believe will become the Love the Jones brand. As we look to scale for growth, we continue to explore marketing technology capabilities that allow us to accelerate and build awareness and engagement with Gen Z. As we continue to build our digital marketing capabilities, I’m confident that we are creating awareness and engagement for long TAC growth for the long term. Lastly, we continue to lead the craft soda category and innovation. Going back to the unique and novel flavors that consumers know and love, we are launching a special release program to add variety and excitement to our lineup. Also in understanding more consumers are stacking pantries during the pandemic, we are launching a multi-pack program. This will include Fan Faves pack, feature consumer favorites in a 12 pack and a mixer pack, capitalizing on consumer behaviors in making craft cocktails at home. In addition, we are very excited about the product ideation sessions that we are having with key strategic customers. Through these sessions, we are exploring ways our brands can help them drive their business and offer innovative ways to use our products as an ingredient for a finished good to be sold at their location. We believe these co-innovation efforts will drive incremental brand awareness, consumer trial and sales in the foodservice, C-store and club channel. Now let’s talk about operations. Although we made excellent progress throughout the year, there have been several operational challenges related to the impacts of the COVID pandemic. As the market demand has increased for consumer goods, especially for premium products like Jones, the team has worked hard to keep up our supplies of packaging. From glass to aluminum as well as production and trucking capacity have all become more constrained. Working hand-in-hand with a great base of supply chain partners who we’d also like to thank, the team has been able to creatively address these challenges, helping to keep up with the high demand and continue providing excellent service to our customers. In closing, I am very proud of the progress we have made in a very short time and realize there’s still a lot of work that needs to be done. So recapping the call, one, we had 4 consecutive months of revenue growth, and we anticipate momentum will continue. Given this expected closeout to be strong with revenue growth to improved profitability compared to 2019. Two, we will continue to drive out costs in the total supply chain, improve our mix and ultimately improve our margins. Three, we will continue to invest in our business across all functional areas. You heard me mention allocating resources several times throughout this presentation. Four, we will continue to grow our business in new channels, like club and foodservice to drive incremental volume in 2021 and beyond. Five, we will continue to be the People’s Craft Soda and use our labels as a platform and a voice for our consumers. And six, and most importantly, our employee safety will remain our number one priority and we will continue to listen to the advice of the health experts and act accordingly. Although continued uncertainties remain in the macro environment, our team is confident in our ability to stay dialed in on accelerating growth while staying focused and true to our 3-year strategic plan. I want to thank our team, our customers and our consumers for their continued brand loyalty and support. Before wrapping up the call, Jamie, Joe and I would like to address some questions we received from investors via e-mail over the last week. We have selected what we believe to be the most important and relevant questions to answer. Joe, I’ll turn it back over to you.
A - Joe Culp: Thanks Mark. I’ll start with our first question. Are there any updates you can share on the CBD new beverage initiative? Is there any progress or highlights with Heavenly Rx that are worth mentioning?
Jamie Colbourne: This is Jamie. I will answer that. As we said during the last call, nothing has changed since we last spoke to this initiative several months ago. I do not have any updates to provide, and we are still awaiting our guidance from the FDA before we are able to move forward. We will be sure to keep the investors abreast with any changes regarding the CBD initiative.
Joe Culp: Thanks, Jamie. Second question, are there any updates on filling out the rest of the management team, for example, permanent CEO and CFO?
Jamie Colbourne: We are pretty excited. We expect that we are going to announce a permanent CEO in the coming weeks. We will not be making any changes in finance management at this time.
Joe Culp: Alright. Third question, are you comfortable with your current financial position to continue growing the business or do you anticipate having to raise additional capital to fund future growth initiatives?
Mark Murray: Yes, this is Mark. I will take this. Although we are working to obtain an operating line of credit from a traditional lender, we are confident in our financial position and do not anticipate raising outside capital in the near future.
Joe Culp: Thanks Mark. Are you still confident there are enough sustainable growth opportunities within the craft soda market as consumers move towards health care beverage offerings?
Mark Murray: Yes. This is Mark. I will take this one too. We absolutely do. We have seen great growth this year, but also at many markets and channels where we have tremendous upside.
Joe Culp: Okay. And then the last question, given the effects of the global pandemic and the potential for other waves of lockdown throughout the country, do you foresee any issues with your supply chain that could hinder your ability to deliver products or have enough raw material/packaging for production?
Mark Murray: Yes, I will take – this is Mark again. I’ll take this. We do not see any issues. We have been working very closely with our supply team partners and do not anticipate any interruption in our service levels moving forward.
Jamie Colbourne: So, thanks, Joe. Thanks Mark. And this concludes our Q&A session. Before turning the call back over to the operator, we’d like to thank everyone for listening to today’s call, and we look forward to speaking with you when we report our fourth quarter and full year 2020 results. Thanks again for joining us.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.